Inigo Mendieta: Good morning to everyone, and thank you for the time that you dedicate to attend this call. As announced Vidrala has published this morning its 2023 full year results and additionally we have also published the results presentation that will be used as supporting material today's conference call. Following this document, we will dedicate the first part of our exposition to briefly explain the figures released today to dedicate afterwards as much time as necessary to discuss on the business performance in the Q&A session. So starting with the main magnitudes in the full year 2023, we achieved our most relevant business figures, revenues above €1.5 billion and EBITDA of almost €394 million and a net income that is equivalent to an EPS of €7.23. Net debt at the end of the period stood at €472 million, which is equivalent to a leverage ratio of 1.1 times, the pro forma EBITDA, which considers the contribution of the last 12 months of Vidroporto. Turning to slide 4. We look at the top-line performance, analyzing the annual variation of revenue broken down by concepts to arrive at the reported figure of €1,559 million. As it is shown in the graph this figure is the result of a 15.3% growth at constant currency and comparable scope. Volumes were down minus 7% in the full year including The Park contribution, while price mix effect was up 22%. Vidroporto fully consolidated since December 1, 2023 contributed an additional 1.4%. Following the order of key business figures referred to at the beginning, we analyze with exact figures and breakdown the variation of operating income. 2023 full year EBITDA amounted to €393.7 million, reflecting a growth of 43.5% at constant currency and comparable scope. These operating figures resulted in an operating margin EBITDA over sales of 25.3%, which represents an expansion of more than five percentage points compared to 20.1% registered in the previous year, which was as we all know negatively affected by the extraordinary context derived from inflationary pressures and the energy prices. Let's analyze now the free cash flow generation in detail. We will do so with the help of the chart on slide 7, which reconstructs the cash conversion for the full year. So starting from an EBITDA margin of 25.3%, we have dedicated 9.7% of sales to investments and another 5.7% to the aggregate of working capital, financials and taxes. Free cash flow generation recovers the path of gradual normalization reaching the equivalent of 9.8% of sales. Now net debt at the end of the reported period closed at €472 million. This figure is mainly the consequence of the cash out for the acquisition of The Park and Vidroporto including debt on top of our firm commitment to shareholder remuneration and the just mentioned cash generation. As a result leverage ratio stands at 1.1 times pro forma EBITDA. And finally in this slide we present the distribution of sales and EBITDA by divisions, considering 12 months contribution of Vidroporto. If we make the analysis under the new perimeter after yesterday's announcement of the agreement to sell the Italian business, the new group would have generated in 2023 revenue of €1567 million and an EBITDA of €406 million. And now before turning to the Q&A session, I pass the word to Raul so that he can extract main concessions or highlights and make additional comments that he considers appropriate.
Raul Gomez: Thank you Inigo for the excellent presentation, and thank you all attending this call today. We know that you are quite busy. We really appreciate your time. Thank you. Well, we finally ended the year 2023 meeting the expectations expressed in our official guidance, but this doesn't mean that it was an easy year for us. Far beyond the numbers, in 2023 there were a number of strategic movements and operational actions to react to our predicted business conditions, actions that prove that Vidrala is today a stronger company. Let me explain this better. First, in our more traditional region, Southern Europe, we were able to recover in full the margins we have lost during the energy crisis in 2022. And we did it despite demand was abnormally weak during the year, a point that forces us to reduce capacity and control inventories. So, this is to explain that we do consider the recovery of our profitability levels, mostly the results of internal actions. You probably have in mind the capacity we are having planned that started five years ago. We have divested, invested, closed and opened capacity investing selectively. And so, because of these internal reasons, because we are industrially and operationally stronger than ever, we do consider that our margins in this region, in Southern Europe, are safe for 2024. In the UK and Ireland, in our admired company Encirc, our unique approach was probably remember further enhanced last year after the acquisition of a large bottling facility located in the City of Preston and transaction that help us capture a very valuable force portion of the market, reinforcing Encirc's unparalleled fundamentals as the only company that offers a full 360 approach to the beverage supply chain in the UK. Because this transaction will progressively contribute to profits and because of the strong competitive fundamentals of our Encirc's business, our margins there should progressively improve about 2023 levels. In both regions, in Europe and the UK, the path of margin conversions into profits in value will obviously depend on the path of recovery in our demand. But please let me remark that the level of optimization you are seeing today is based on internal reasons. We are operationally and commercially better than in the past. And third, a more particular case for us. We finally after a long process of, let's say, analysis, we late in 2023 completed the acquisition of Vidroporto, a new division joining the Vidrala Group, an excellent business led by an excellent management team. A big step for us, that represents our entry into Brazil or even into the American continent. That is a platform for future growth. There, in Vidroporto the business is evolving well as expected. That means that our customers are responding well. We are capturing the sales volumes that are consistent with the new investments, investments that increase our capacity by approximately 30% and this is being reflected in our numbers. At the end, in Brazil, in 2024, we do reiterate today that our profits will grow as it was anticipated. In conclusion, we have a much more clear focus on very clear three core divisions that have been selectively defined that have seen quite different demand dynamics, business dynamics that we are managing differently, but at the end creates a great new business combination. My intention with this simple summary is to explain as easy as possible the rationale behind the divestment of our Italian business. We had a plan, and this is part of the plan. We are reallocating capital. We are focusing the business on three core divisions, structurally improving our cash profile and our profitability levels, monetizing the value that has been created and returning part of this value in cash to our shareholders. That was the plan and we are executing that plan. That ends my conclusions. Thank you very much. Time for your questions.
Inigo Mendieta: Okay. So this completes our exposition. We now give way to the Q&A session.
Operator: Ladies and gentlemen, the Q&A session starts now. [Operator Instructions] Our first question comes from the line of Alberto Espelosin from JB Capital. Please go ahead.
Alberto Espelosín: Yeah. Good morning. Thank you for taking my questions. I have three if I might. My first question is on full year 2024 outlook. Could you please provide a bit of visibility on volumes for next year as well as price developments both in Europe and Brazil? Thank you. I'll go with all the questions. My second question is on margins. How should we think about profitability in 2024? Are you still working at low utilization rates? Where do you just expect this to recover? And do you expect to see a strong recovery in margins in the UK? And my last question is on the sale of Italy. How much of the funds do you expect to be used to repay debt? And how much would be for extraordinary dividend? Thank you.
Inigo Mendieta: Well, first question regarding the outlook for 2024, please let me remind that as usual in our style we will provide official guidance during the Annual General Meeting to be held on April 30. So what we can say so far is that okay we saw our volumes under some process of recovery in those regions that suffered the most in 2023. Please let us keep in mind that we do have three very different market dynamics. There is a process of recovery in Southern Europe. There is a process of capture of market in the UK, after the acquisition of The Park. And there is a process of real growth -- organic growth in Brazil. Please keep in suggestion these combinations. So all in, we do expect our volumes to grow positively in 2024 but please lend us some time to provide more official guidance. Second question is regarding as I understood well, where we are in terms of capacity utilization we are running at full in Brazil. This is basically the result of these different dynamics. We are basically running close to full capacity in the UK. And we are progressively restarting lines increasing use of capacity in Southern Europe. That's approved at the beginning of the year but this is only the beginning has started as expected. I mean, we are seeing some signs of recovery that will help us to progressively and cautiously increase use of capacity. And third, a very predictable question regarding how much the funds of Italy are going to be used to dividends. Please let us remind that, we still need some time to finalize the needed approvals to close this deal. If that happens that will basically depend on our Board decision, it's on their hands. Our Board will make a proposal for the approval at the Annual General Meeting, but you won't be surprised. What we have seen in the press release is that the funds will be partially dedicated to an extraordinary dividend and partially is exactly what it seems what is remaining one part of one side and the other part on the other.
Alberto Espelosin: Understood. Thank you.
Operator: Our next question comes from the line of Cole Hathorn from Jefferies. Please go ahead.
Cole Hathorn: Good morning. Thanks for taking my question. I just want to come to the end markets. I mean, if we look at the various consumer companies across beer, spirits and wine, they're in different cycles of what they're seeing for de-stocking and demand into 2024 as well as food. So I just like a bit of color of what you're seeing from your customers around kind of the food, wine and spirits and then the beer markets that would just be helpful. And then I'd like some color on the disposal of Italy where you were kind of a smaller player, it does seem like you're focusing on the regions where you've got scale. Can you describe the benefits of that scale in your kind of Iberian market and what you're thinking about doing to improve that scale. Will it be strategic investments behind more kind of color processing plants? How do you kind of build on that scale that you've got in that Iberian market and the UK market? Thank you.
Raul Gomez: Okay. Thank you very much, Cole, for your questions. Just as introduction for the first 1 on demand context by different product segments. Just remind you that approximately one-third of our sales is on wine, another third is beer, probably this will be slightly increased after the acquisition of Vidroporto. And then the rest we have several segments that are in the range of 10%, which is food, mainly focused in our case on olive oil, soft drinks and spirits. Okay.
Inigo Mendieta: And just to clarify in terms of segments, we need also to understand the different demand dynamics by regions. I mean, in Brazil, for example, most of our sales are beer. And beer consumption in Brazil is particularly buoyant. But maybe beer consumption was one of the segments that suffered the most in 2023 in Europe and the UK. And you should consider beers as a naturally cyclical segment of sales, one-third of our sales. Our sales for wine are mostly focused, mostly concentrated in Europe and the UK. Our sales in wine are going well because we are capturing new demand for wine bottles in the UK after the introduction of the park. So we are probably different and we are probably not a good reference of what is happening in the wine market, in the glass packaging market for wine bottles. Spirits, we know that we are seeing a lot of noise about the following some of our customers comments and following where organic demand for the spirits is. Our presence in the spirits is low, particularly concentrated in the UK, where our commercial positioning is particularly strong. So again, maybe we are not a good reference, but we are seeing some positive growth in this segment. And finally, sorry for this simplistic explanation. In the food segment, this segment enjoyed great momentum during the pandemic and now is becoming more normal. Organic demand in food is becoming more normal, but our presence in this segment is particularly less significant than the industry average. Second question, regarding the rational of our divestment from Italy. Well, one of the main reasons -- you are right. One of the main operational or strategic reasons of analyzing the divestment of Italy is our weak market share. 3% of the market share is far from our intention, it's far from our strategies. That means is an interim business. This business is profitable. I will say that as you probably have read that we did well. As you see that our numbers over the last three, four years particularly at market levels of EBITDA levels. But our market share in Italy realized on the fact that it's structurally small. We haven't been able in the past to increase our market share through investments for two acquisitions, despite you can believe we tried our best. So that means that this is out of our style out of our strategy. What is our strategy is probably your question. We want to be one of the leaders in every region we are present. We are one of the leaders in market share and in competitiveness in Iberia, Spain and Portugal. We are the leaders in the U.K. with two unique glass manufacturing sites combined by a unique large bottling facility in the South. And we do have approximately 20% of the market share in Brazil. So, obviously, we want to increase our market share in Brazil and Latin America. 
Cole Hathorn : Maybe then just as a follow-up. I mean, being a regional player and having proximity to your customers having good scale, what are the key benefits that you're looking in to invest behind in the U.K. and Iberia? I'm just trying to understand when you're thinking about your capital allocations to kind of make sure that you retain that market leadership in Iberia and the U.K. What are the areas that are of most interest to you? Is it on the raw material sourcing side on the colored? Is it kind of continuing investments behind efficiencies of your existing plants? I'm just trying to understand where will you be allocating capital in those markets.
Inigo Mendieta : Well, this is a good question. There are two ways for us to allocate capital. And these two ways will be different depending on our - the level of maturity of demand on the different regions. It's very evident that Southern Europe is a much more mature demand than Brazil in some extremes. And that means that the capital that we will allocate in our traditional regions, let me say, quite profitable regions, historically for us will be capital used to improve our cost base and not to expand our capacity. Improving our cost base, means investing on verticalization, means investing on energy transition, and means investing with economic sense to improve our cost competitiveness and to offer a more competitive proposal to our customers. And that will be the case of Iberia, Spain and Portugal. In the U.K., we will see -- in terms of capital allocation, we will see some opportunities to allocate capital to improve our cost, obviously, but also to allocate capital to enhance our different business approach, for example, in our bottling activities. So we will probably, hopefully, find some opportunities to allocate capital in the U.K. despite the level of maturity of demand is also high as it is in Continental Europe, because our business in the U.K. is different and will offer us some opportunities small minor opportunities to be open. And in Brazil or even in Latin America, we think in this -- we will be tempted and we will try our best. We promise to allocate capital to expand capacities and to improve our market share and our presence in a region that is full of opportunities for us.
Cole Hathorn : Thank you.
Operator: [Operator Instructions] We have a follow-up question from the line of Cole Hathorn from Jefferies. Please go ahead.
Cole Hathorn : Thanks for taking the follow-up question. I just like a little bit more color on the quantum of the Italy disposal. I mean, if I think about the CapEx needed for a new glass facility like that I would imagine, it's -- the new CapEx cost would clearly be lower than what you're selling this business for. Could you just give a little bit of color on what the approximate CapEx of building one or two glass furnace line would be if you were to build a greenfield plant? Thank you.
Raul Gomez : Thank you. This is not an easy question to answer. What we can say is our experience. We acquired this site 15 years ago approximately by approximately €50 million and we decided to invest approximately an additional €120 million -- €110 million and €120 million five years ago. The result of this initial investment and the additional investments basically creates the extraordinary profits that we have published in our press release. But that doesn't mean that replicating a site like this from scratch has a cost of €150 million or €160 million. Probably the capital needed to replicate this model is higher than this. And more than the capital needed the operational difficulties you can find to build a new greenfield similar to the site that we are divesting or trying to divest takes probably more time; sources of lines, recruiting of people, operational difficulties, design, engineering, the rest of things. I will say at the end that, we are doing a good deal because the value that we are capturing is above the value we have considered in our accounts because this deal is helping us to refocus on real core regions. And unfortunately for us, Italy was not a core business for Vidrala. But I will say that the other part, Vidrala is also doing a good business in terms of the multiples they are paying and the valuation we have agreed.
Cole Hathorn: Thank you.
Operator: The next question comes from the line of Inigo Egusquiza from Kepler. Please go ahead.
Inigo Egusquiza: Hi. Good morning Inigo, Raul. Thanks for your presentation. I have two additional questions if I may. The first one is on in Europe, you mentioned pricing and volume performance in the full year. If you can give us more or less the numbers for the Q4? I have the impression making the calculation which are quite similar, but if we have seen any change in volumes in Q4 versus Q3? This is the first question that I have. And the second question that I have Raul is, if I understood well, it seems that the year has started slightly better in Europe. You were mentioning that you are increasing utilization capacity and that volumes I have the impression have slightly recovered in January and February as you were mentioning. The question is, what about pricing for 2024? I don't know what is the level of pricing or the price adaptation that you are mentioning previously after the big increase we have seen on pricing in both 2022 and 2023? Thank you.
Raul Gomez: Okay. Thank you, very much, Inigo. Regarding pricing volumes in Q4 and full year, as we mentioned full year 2023 prices we saw -- sorry volumes we saw a minus 7% decline including The Park contribution with prices slightly above 20%. And in Q4 what we saw is volumes now in the range of minus 10% also including The Park and prices up in the range of 14%. So very similar trends in terms of volumes in comparison to Q3 and slightly lower contribution from pricing just because of the comparison basis of last year -- of the last quarter of 2022. If we take a look on pricing regarding your second question pricing for 2024, as you may remember we were communicating expectations in terms of pricing for this full year in the range of minus 5% to minus 10%. This is excluding Vidroporto where we expect pricing to be more in the range of flat to slightly positive. And we are for the start of the year these two months of this year we are more or less in this range of minus 5% to minus 10% in Europe the UK and Ireland. And your following this question regarding our trading update at the beginning of the year so far we're -- this is only the start of the year. There is little we can say with you so far. And first and more relevant we have quite different markets. Demand dynamics in Brazil are very different than in Europe. So I assume that your question is basically focused on Europe where we suffer the most in 2023. And what we are seeing so far is some positive growth even despite the prior year comparison so far is before demand began to drop. So this is not bad news but please let us remark that it's only the start of the year, because of our pure natural seasonality of our sales this beginning of the year is particularly representative of the rest of the year.
Inigo Egusquiza: Okay. Thank you, Raul and Inigo.
Operator: There are no further questions via the telephone. I will turn the floor to Mr. Gomez and Mr. Mendieta. Thank you.
Inigo Mendieta: Okay. Thank you very much. So there are still some further questions via the webcast and we will try to answer now. Okay. First one, the question says, what was the reason for paying an extraordinary dividend instead of share buybacks given the current Vidrala's low valuation?
Raul Gomez: Well, thank you very much. As you know this is part of our style. I won't discuss the valuation is low or high. And we never speak about the surprise. We just try to make our best in terms of making profits having a plan in. So we are actually combining different alternatives to return cash to our shareholders. We are increasing our cash dividend structurally, annually. We are committing to return cash in the form of dividends after these divestments. And third, please keep in mind that we are today actively buying back shares as part of our buyback share program that was announced some weeks ago. So we are actually buying back shares and particularly accepting your proposal. Thank you.
Inigo Mendieta: Yes. In addition to that, the program to acquire shares amounts to a maximum of 330,000 shares equivalent or a maximum of €33 million and is expected to or has a maximum time duration of 12 months. It's expected to be completed during 2024. There is another question in this case on Brazil that says if we could see an increase in capacity in the Sergipe plant, the plant in Vidroporto in the Northeast in 2024?
Raul Gomez: Well, [indiscernible] Thank you. We will think on this.
Inigo Mendieta: And then, there are some other questions, first of all on CapEx which is the amount of recurring CapEx for 2024? And what is a good proxy in terms of sales? Okay. We are seeing that CapEx in 2024 should be something in the range of 10%. This is -- this should be a figure that sounds reasonable for us. It's not pure replacement CapEx as you know. Let's say that one-third of this CapEx will be dedicated to investments related to on-site power generation and other sustainability projects. But yes, still this 10% of sales look reasonable also after the different perimeter including Vidroporto excluding Vidrala Italy. And probably related to this there is some questions related to our plans to reduce carbon emissions. And probably the answer regarding CapEx is part of this answer. First of all for the actions that we will take in the short medium-term will be mainly dedicated to higher electrification of our furnaces. This will mean that we'll have somehow hybrid furnaces. The last furnace that we have built or started in Portugal, last year is already a furnace that is able to work at higher electrification rates. For this to happen, we will invest as just mentioned in on-site generation -- power generation facilities and probably looking more into the medium long-term. We are researching alternative fuels to fit our furnaces and to really reduce further our CO2 emissions. Okay. There are some other questions in the webcast regarding margins that M&A dividend outlook. I think all of them have been answered throughout the presentation or the Q&A session. So I assume that all of them are answered. In any case, if somebody feels that some of the questions haven't been answered just feel free to contact us after the conference call. Okay. So once again, thank you for the time that you have dedicated to us, especially on this very busy day for many of you. And again, just remind you that we are at your complete disposal for any further questions that may arise.